Operator: Good afternoon, and welcome to the Entravision Communications Corporation Fourth Quarter and Full Year 2013 Earnings Conference Call and webcast. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Walter Ulloa, please go ahead, sir.
Walter F. Ulloa: Thank you, Laura. Good afternoon, everyone, and welcome to Entravision's fourth quarter and full year 2013 earnings conference call. Joining me today is Chris Young, our Executive Vice President and Chief Financial Officer. Before we begin, I must inform you that this conference call will contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ. Please refer to our SEC filings for a list of risks and uncertainties that could impact actual results. This call is the property of Entravision Communications Corporation. Any redistribution, retransmission or rebroadcast of this call, in any form, without the expressed written consent of Entravision Communications Corporation is strictly prohibited. Also, this call will include certain non-GAAP financial measures. The company has provided a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures in today's press release. The press release is available on the company's website and was filed with the SEC on a Form 8-K. Our fourth quarter results marked a strong end to a highly successful year for Entravision. We generated solid core advertising revenues in the fourth quarter and full year, and consistently outperformed the broader television and radio industries. At the same time, our conservative approach to debt management continue to deliver strong free cash flow generation and improved net income over the fourth quarter of 2012. We prepaid $10 million of term loans under our senior secured term loan credit facility and have entered into a 2-year forward interest rate swap agreement that will become effective December 31, 2015 and provide for fixed rate interest rate of 5.23% on $186 million of our outstanding debt. We also initiated the first quarter dividend in Entravision's history. During the year, we further extended our revenue streams and strengthened our multimedia platform advertising campaigns through deeper integration of our online mobile and social offerings. Our digital and core radio and television properties all remained strongly positioned within the nation's most densely populated Latino markets at a time where interest in targeting and reaching Latino consumers continues to increase. Consolidated fourth quarter revenue was $60.1 million, down 6% compared to fourth quarter of 2012. The decline was solely due to almost $9 million of nonrecurring political revenues that were booked during the fourth quarter of 2012. The year-over-year decline in political revenues was primarily offset by strong core advertising performance and growth in retransmission fees. On a core basis, consolidated revenues increased 9% in the quarter. Due to the absence of approximately $9 million of political advertising revenue in the fourth quarter, consolidated adjusted EBITDA decreased 22% to $19.8 million compared to $25.3 million in the fourth quarter of 2012, and free cash flow decreased 14% to $13.5 million compared to $15.6 million in the fourth quarter of 2012. Although these measurements decreased, we benefited from the successful third quarter refinancing of our debt and managed to reduce our interest expense by $5.1 million in the fourth quarter. The savings contributed to net income of $9.5 million in the quarter compared to $7.7 million in the fourth quarter of 2012. Additionally, earnings per share increased to $0.11 per share for the quarter compared to $0.09 per share in the fourth quarter of 2012. Consolidated 2013 revenue was $223.9 million, slightly higher than 2012's revenue of $223.3 million. For the year, we are particularly pleased to have achieved nominal revenue growth over 2012, during which we benefited from a record $16.6 million in political advertising revenue. The year-over-year decline in political revenues was primarily offset by strong core advertising performance and growth in retransmission fees. On a core basis, consolidated revenue increased 7.5% in 2013. While consolidated adjusted EBITDA decreased 5% to $73 million for the year, compared to $76.9 million for 2012, free cash flow for the year increased 12% to $39.1 million compared to $34.8 million in 2012. Free cash flow per share increased to $0.45 in 2013 compared to $0.41 in 2012. Although our debt refinancing occurred in the third quarter, we managed to reduce our interest expense by $10.8 million this year. While the new debt refinancing reduces our interest expense, it resulted in a noncash loss on debt extinguishment of $29.7 million due to the redemption of the high-yield notes. As a result, we reported a net loss of $7.7 million for the year compared to a net income of $13.6 million in 2012. Now moving onto operating highlights for the fourth quarter. Our television revenue decreased 6% during the fourth quarter due to the absence of political revenue this year, or I should say, in 2013. Local television revenues increased 14% in the quarter while national TV revenues declined 25%. The decrease in national revenues was driven primarily by the impact of higher political television advertising sales of approximately $7.8 million in the fourth quarter of 2012. On a core basis, excluding political revenues and retransmission fees, fourth quarter TV revenues increased 11% compared to the fourth quarter of 2012. Core local television revenue grew 18% while core national revenues increased 4% during the quarter. This growth demonstrates our ability to consistently outperform the broader television industry. Television Advertising Bureau estimated that core television industry revenue increased 7% in the fourth quarter compared to our core growth of 11%. We have now significantly exceeded the industry's core growth projections for 9 consecutive quarters. One contributor to this consistent out-performance is the automotive category, which, once again, delivered double-digit growth during the fourth quarter, with ad sales up 16.3%. Automotive spending growth at our television stations has now posted double-digit increases in 15 consecutive quarters and the growth was broad-based as we posted increases in all 3 automotive tiers in Q4 2013. The auto category finished the year up 20.4% in our television business compared to 2012 and generated strong growth across brands and tiers. For the year, Entravision Television posted year-to-year growth with 6 of our top 8 automotive brands, led by Kia up 67%, Nissan up 55%, Honda plus 36%, and GM plus 35% and Toyota plus 27%. We are encouraged by the initial industry reports that the auto segment is expected to continue its momentum into 2014 due to strong, pent-up demand, easier access to credit, low interest rates and a robust product cycle, which means more product launches in 2014, as well as our own internal monitoring of this important advertising category in the first quarter of the new year. Looking now at other television advertising categories, we experienced growth in 7 of our top 10 categories during the fourth quarter, including strong performances from automotive, healthcare plus 50%, travel and leisure plus 46% and retail plus 16%. Healthcare, driven by new legislation, posted the largest percentage growth in the quarter and finished as our third highest billing category. It's noteworthy that the majority of the healthcare investment did not come from government-sponsored awareness campaigns, but from leading healthcare providers like Blue Cross, Blue Shield, UnitedHealthcare, Humana, Kaiser, Molina, WellPoint, Aetna and Aflac. We fully expect health care to continue as a revenue driver into 2014. During the fourth quarter, we added 47 new television advertisers who invested $10,000 or more with our television properties. New television clients include the Mexican Tourism Board, Nevada Health Coop, Microsoft and Living Spaces, just to name a few. For the full year, Entravision Television business added 172 new advertisers who invested $10,000 or more with our television assets. Turning to our ratings performance. Our Univision affiliates increased their ratings leadership positions in the November 2013 sweeps. Among all adults 18 to 49, regardless of language, 7 of our Univision affiliates ranked #1 or #2, sign on to sign off. Five of our UniMás Television affiliates, are #2 ranked behind our Univision affiliates in their respective markets in adults 18 to 49. During our prime time novela block, Entravision Univision affiliates delivered higher ratings among adults 18 to 49 in 9 markups than at least 1 of the big 4 television network affiliates. In early network newscast, 13 of our Univision affiliates are ranked #1 or #2 regardless of language. And 11 of our Univision Television affiliates are #1 or #2 in early local news and 5 are #1 or #2 in late local news, again, regardless of language. Moving over to our Radio division. Revenues decreased 5% in the fourth quarter compared to last year. Our station group was right in line with the broader radio industry, which Miller Kaplan estimates is down 5% during the fourth quarter in the 12 markets which we subscribe. For the overall year, Entravision Radio's revenues increased 1% compared to last year. Our Radio Station group outperformed the industry by over 2 points, according to Miller Kaplan. The radio industry was down 1.3% for the year in the markets where we subscribe to Miller Kaplan. For the quarter, local, which represents 70% of our total revenue, increased 7%, while national, which represents 30% of our total revenue, declined 26% due to the reduction of political advertising compared to the fourth quarter of 2012. Net political revenue in the fourth quarter of 2013 was $52,000 compared to almost $1.6 million in the fourth quarter of 2012. When you exclude political advertising, our Radio division core revenue finished up 3% for quarter and increased 4% for the year. Local revenue was up 11% and national revenue was down 12% in the fourth quarter on a core basis. For the year, local revenue was up 7% and national finished plus 1% on a core basis. Revenues at our Entravision Solutions Audio Network decreased 9% during the quarter and finished up 5% for the full year. Our Entravision Solutions Network had a strong year, as our sales teams and platform continued to generate solid interest from companies looking to effectively reach Latinos across the country. In addition, during 2013, we increased our network reach from 70% to 95% coverage of the total U.S. Latino population. During the fourth quarter, we had a total of 26 Entravision Solutions Network advertisers compared to 18 during the fourth quarter of last year. Our top 5 network advertisers during the fourth quarter were Mars, Lowes, AutoZone, JCPenney and the O'Reilly Auto Parts. Due to quarter revenue growth in 3 of our top 10 categories in the fourth quarter, the automotive category, which is the second highest generating category, was down 3% for the quarter, but was up 9% for the year. Tier 3 was a driving force of the automotive category in the quarter, with an increase of 4% over fourth quarter 2012. In addition to the before-mentioned automotive, in order of spending, our top ad categories during the fourth quarter for radio were services, retail, travel and leisure, health care, restaurants and grocery. Services, our top category for the quarter, was flat versus Q4 of 2012. Retail saw a 9% decrease, which was a result of reduced spending in the quarter by both Walmart and Sears, and offset by increased spending by Lowe's, Target and JCPenney. Travel and leisure increased by 22% in the quarter, with increased spending by the Mexico Tourism, NASCAR and a number of local entertainment accounts. Healthcare increased 17% due to increased spending by Kaiser Permanente, Health Net California and Dignity Health. For the year, we saw increased spending in our top 5 categories. Services saw a 5% increase, automotive was up 9%, travel and leisure plus 4%, and retail saw a 6% increase and health care was up 9% for the full year. Our strong radio sales teams continue to attract new advertisers for the division. During the fourth quarter, we added 28 new radio advertisers who spent more than $10,000, and which generated approximately $700,000 in advertising revenues. These new advertisers included WellPoint and Dean's [ph] Sports. For the full year, Entravision Radio added 118 new advertisers who invested more than $10,000 with our radio assets. For the fall 2013, radio rankings -- our radio stations continue to be the ranked among the leaders in adults 18 to 49 against all competitors regardless of language. 13 of our radio stations are ranked in the top 10 in their markets, full week, Monday to Sunday, 6:00 a.m. to 12:00 a.m. and morning drives, 7 of our radio stations, Los Picudos de la Mañana on our Tricolor stations and 5 of our radio stations airing El Show de Genio on our Jose stations, are in the top 10 in their markets. Our cornerstone afternoon drive program, Erazno y la Chokolata, is ranked in the top 10 radio stations regardless of language in 9 of our radio markets. Let me now turn to Digital business. We continue to leverage our strong brands and revenue teams to deliver attractive integrated marketing solutions. Now our clients can connect with our audiences across TV, radio, online, mobile and social for greater aggregated impact with new attractive multi-platform advertising campaigns. Our major goals for our Digital business in 2013 were to deepen the integration of our digital campaigns into our traditional radio and television offerings, and to expand and introduce new digital products. We reengineered our company in 2012 around the strategy of becoming increasingly client-centric, and we believe our efforts paid off in 2013 as we made tremendous progress in all these areas. We are delighted to announce we generated record digital revenue for both Q4 and 2013. Fourth quarter interactive revenues increased 51% over the same period in 2012. This marked the 22nd straight quarter of year-over-year digital revenue growth. For the full year, our interactive revenues finished up 45% compared to 2012. We launched our digital ventures in 2009 and since then we have experienced solid revenue growth with a compounded annual growth solid revenue growth rate of 49%. Today, our digital revenue account for over 5% of our local revenues and over 3% of our total revenues. We will continue to invest in our digital capabilities and remain committed to our goal of having at least 20% of our total revenues produced by our digital platform in 2016. We continue to expand our digital video and audio streaming offerings across our station websites. We published over 9,000 local news stories online across our markets during the fourth quarter. We also streamed 4.7 million hours of audio content during the quarter, an increased 44% compared to last year. We finished 2013 with 625,000 monthly unique audio streamers with an average session length of 1 hour. Our mobile operations continue to grow at a fast pace as well. During 2013, our annual mobile revenues increased 47% over the previous year, as usage trends remained at record levels. We sent over 11 million text messages to our mobile audience on behalf of advertisers like Toyota, Ford, AT&T, Bud Light, Coors, Comcast, the Denver Broncos, MetroPCS, McDonalds, Bud Light, State Farm insurance and many others. We continue driving social media engagement. We finished 2013 with over 650,000 followers on our social media channels, which is up 61% over the fourth quarter of last year. During 2013, in partnership with Google, we deployed a new enterprise social marketing platform that allows us to integrate our social media campaigns into our traditional advertising offerings to drive social media engagement and revenue. We continue to improve and expand our online Latino search platform, ENTRALEADS. ENTRALEADS connects potential Latino consumers, with clear purchasing intent, with our local and national advertising clients through customer calls and other high-quality lead forms. This unique automated platform continues to produce positive results for advertisers. During 2013, we continued developing our Big Data unit. Luminar is the first Big Data analytics and modeling provider to focus on the Latino market. As our audience engagement grows, we collect and analyze data to uncover opportunities and insights for our clients. Luminar's Big Data platform and analytics provides actionable Latino consumer growth strategies for Fortune 1000 companies. We continue to add clients and we are being asked to provide services to our current clients including Carnival Cruise, Valvoline, Nestlé, Publishers Clearing House, Target, the California Milk Advisory Board and others. Luminar now collects and analyzes data for 15 million U.S. Latino adults, which represent 70% of the U.S. Latino adult population's transactions in brick-and-mortar, online and catalog. During 2013, we launched the Luminar Audience Platform. LAP is a technology platform that organizes display, mobile, video and social ad inventory using data from numerous sources, including Luminar's transactional data, that enables advertisers to set customized specifications about the type of customers they want to attract and use the power of algorithms to improve marketing ROIs across all digital media. We have recruited an elite group of professionals to market the LAP product to advertisers in 2014. We are transforming Entravision. We used to be a broadcasting group, now we see ourself as an integrated media and information technology company serving the Latino market. Turning to our pacings. While we do not provide specific guidance, we can tell you that, through February, we see positive trends across our multimedia platform. Entravision's total revenue, excluding retransmission fees through February, is pacing mid-single-digits, with our television business pacing at mid-single-digits and radio business pacing at high single-digits. In summary, our software fourth quarter capped off a very productive and successful year for our company. We consistently generated solid core advertising revenues while also strengthening our digital platform in the integrated advertising opportunities we offer current and prospective clients. We are pleased with our current pacing so far in 2014, and are focused on executing our strategy and delivering increasing returns to shareholders. Our revenue for World Cup continues to build as we are well ahead of 2010, with advertising business on the books for the greatest sports spectacle in the world, the 2014 games in Brazil. I will now turn the call over to Chris Young, our Chief Financial Officer, for a review of our financial information.
Christopher T. Young: Thank you, Walter, and good afternoon, everyone. As Walter has discussed, net revenue for the quarter with $60.1 million, down 6%. Operating expenses increased 7% to $35.9 million and consolidated adjusted EBITDA decreased 22% to $19.8 million. Net revenue for the year was $223.9 million, modestly higher compared to the prior-year. Operating expenses for the year increased 4% to $135.2 million and consolidated adjusted EBITDA decreased 5% to $73.0 million. On December 16, 2013, the company entered into a 2-year forward 3-year interest rate swap agreement with an aggregate notional amount of $186 million as a requirement under a company senior secured term loan credit facility that we entered into on May 31 of 2013. The swap takes effect on December 31, 2015, with a maturity date of December 31, 2018. During that period, the swaps will provide a fixed interest rate of rate of 5.23% on $186 million of the company's outstanding debt. During the fourth quarter of 2013, the company prepaid $10 million of term loans under the company's senior secured term loan credit facility. Also during the fourth quarter of 2013, the company declared and paid a cash dividend of $0.125 per share to shareholders of the company's class A, B and U common stock. Dividend consisted of a special cash dividend of $0.10 per share and a quarterly cash dividend of $0.025 per share. The total amount of cash dispersed for the dividends was $11 million. The company also announced, today, that the Board of Directors has declared a quarterly cash dividend of $0.025 per share to shareholders of the company's common stock, payable on March 31 of this year, 2014. Total amount of cash to be dispersed for this quarterly dividend will be approximately $2.2 million. As we announced in December 2013, we currently anticipate making cash dividends on a quarterly basis in future periods. For the quarter, television net revenue were down 6% to $42.7 million compared to $45.4 million in the same quarter of last year. Radio net revenue for the quarter was down 5% to $17.4 million compared to $18.4 million in the same quarter of last year. The decrease in our television segment was primarily attributable to the absence of $7.8 million of political advertising revenue versus $600,000 in TV political in Q4 2013. Decrease in our Radio segment was primarily attributable to the absence of $1.6 million of political versus only $50,000 of political advertising revenue in Q4 of 2013. Excluding retransmission consent revenue and political advertising revenue, core television advertising revenue was up 11% for the quarter versus TV industry core spot revenue of 7%. Walter mentioned earlier, this is the ninth consecutive quarter where our core TV revenue has significantly outperformed that of the industry. Core radio advertising revenue was up 3%. For the year 2013, TV net revenue was slightly ahead, at $157 million, compared to $156.8 million in 2012. Radio net revenue for the year was up 1% to $66.9 million compared to $66.4 million in 2012. The increase in our Radio segment was primarily attributable to an increase in local advertising revenue, partially offset by the absence of $2.5 million of political advertising revenue last year versus $200,000 of political this year. In addition, the TV segment had an increase in local and national advertising revenue and retransmission consent revenue, partially offset by the absence of $14 million of political advertising revenue last year versus only $950,000 of political revenue this year. Excluding retransmission consent revenue and political advertising revenue, core TV advertising revenue was up 9% for the year versus a TV industry core spot revenue of 1%, while radio advertising revenue was up 4% for the year. Retransmission consent revenue for the quarter was $5.9 million compared to $5.1 million in the same quarter of last year. Retransmission consent revenue for the year was $22.2 million compared to $20.2 million in 2012. Operating expenses for the quarter, $35.9 million, up 7%. Excluding noncash compensation expense of $0.3 million, operating expenses for the quarter were $35.6 million, up 7%. The increase was primarily attributable to an increase in performance-based sales commission and sales bonuses associated with the increase in local revenue and an increase in salary expense. Operating expenses for the year were $135.2 million, up 4%. Excluding noncash comp expense of $1.1 million, operating expenses for the year were $134.1 million, up 4%. Again, the increase was primarily attributable to an increase in performance based sales commission and sales bonuses associated with the increase in local revenue and an increase in salary expense. Corporate expenses for the quarter were up 1% to $5.5 million compared to $5.4 million in the same quarter of last year. Excluding noncash comp expense of $0.9 million, corporate expenses for the quarter were $4.6 million or down 5%. Corporate expenses for the year up 10% to $19.8 million compared to $18 million in 2012. Excluding noncash comp expense of $3.7 million, corporate expenses for the year were at $16.1 million, down 1%. We are currently in the process of finalizing our provision for income taxes. We currently have a full valuation allowance against our net operating loss carryforwards and other deferred tax assets. Based on recent positive operating results and projections of future income, we are evaluating the possibility of restoring all or part of these tax assets to our balance sheet. This noncash adjustment could potentially decrease our income tax expense for the quarter and full year. As such, our quarterly results, such as earnings per share that are impacted by income taxes, are subject to change. EPS for the fourth quarter of 2013 applicable to common stockholders improved by 22% to $0.11 per share compared to $0.09 per share in the fourth quarter of 2012. EPS for the year was negative $0.09 per share compared to a positive $0.16 per share in 2012. Excluding the loss on debt extinguishment of $29.7 million, adjusted EPS for the year was $0.25 per share. Free cash flow, as defined in our earnings release, decreased 14% to $13.5 million or $0.15 per share for the quarter compared to $15.6 million or $0.18 per share for the same quarter of last year. Cash interest expense for the quarter was $3.4 million compared to $8 million in the same quarter of last year due to the successful refinancing of our debt last year. Free cash flow for the year increased 12% to $39.1 million or $0.45 a share compared to $34.8 million or $0.41 per share for 2012. Cash interest expense for the year was $22.9 million compared to $33.0 million in 2012, again, due to the successful refinancing of our debt last year. Cash capital expenditures for quarter were $2.6 million. CapEx for 2013 as a whole were $10.2 million. Turning to our balance sheet. As of 12/31/2013, our total debt was $364.1 million and our trailing 12-month consolidated adjusted EBITDA was $73.0 million. Cash on the books was $43.8 million at 12/31/2013. Net of $20 million of unrestricted cash on the books, our total leverage, as defined in our 2013 Credit Agreement, was 4.7x at 12/31/13. This concludes our formal remarks. Walter and I would be happy to take your questions at this time. Laura, I'll turn it over to you.
Operator: [Operator Instructions] And our first question will come from Michael Kupinski of Noble Financial.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: I have a couple questions. It looks like Radio came in a little better than expected and it sounds like the pacings in the first quarter are pretty strong. Is there a particular reason for the strength? Anything you can identify? It sounded like some of the categories, key categories, were strong. But regionally, station performance, anything that account for the strength?
Walter F. Ulloa: Michael, it's Walter. I think, probably the strength that stands out the most right now, for the momentum we're showing in Radio in the first quarter, is our network business. We've done, I think, a very good job of retooling it and we've got a very strong executive heading our network sales, and we've done some work -- or we did some work I should say -- in 2013 in tweaking our national sales effort. That, coupled with our Entravision Solutions rep firm, which we have done more in terms of investment and attracting stronger people to our rep firm to represent our stations, as well as other stations that's part of the Entravision Solutions group.
Christopher T. Young: Just to add to the -- that, category-wise, 2 categories that has been stand-outs to radio, thus far, in the quarter. Telecom, which ebbs and flows, at least it has over the past couple of years. That's up significantly, January and February, year-to-date, as well as the health care category, which is not that unexpected given the Affordable Care Act.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: And so I can assume that the national categories is performing stronger than local. Is local still up?
Christopher T. Young: That's correct. And local, as far as the pace is concerned...
Walter F. Ulloa: We don't have that, Michael. We didn't go that deeply into the pace.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Okay, that's fine. Okay. And I know that the company healthcare-related programming in several key markets to take advantage of what was expected to be the healthcare advertising ramp. Was the influx of health care-related advertising in the last quarter, was that related to the programming initiatives? And if that was successful, are you rolling that in additional markets? Could you just give us a little color on that?
Walter F. Ulloa: Well, I think it was a variety of initiatives. One is that we started working on health care, on the health care initiative -- or I should say the opportunity -- early in 2013, and in fact [ph] , it may have been late 2012, when we started circling the rollout of the Affordable Care Act. And part that was we saw that this act, this legislation, was going to provide health care for a number of Latinos across the country, particularly in California and Texas, that have not been able to either afford health care or receive it due to some pre-existing condition. So, we looked at it from that standpoint as well, and then we created a task force to monitor every aspect of the Affordable Care rollout, in every one of the states where we operate. And then, that, combined with our news coverage of the rollout of the Healthcare Act or health care services, certainly we wanted to get the word out to all of our audience across our platform, that health care would be available for those that are eligible and we wanted to make sure that people were informed and educated about this important legislation. Now we continue to do that, by the way. As you know, there's still another month to go and so our rolling up our sleeves here, to get the word out in every one of our markets about health care services and how people can sign up for them.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: One final question for me, in terms of Luminar...
Walter F. Ulloa: This is something that I think is important noting, Michael. We're proud of this. President Obama was on one of our programs, Erazno y la Chokolata, this morning, talking about the health care services that are available, and we thought that was important to not only issue a press release, but also talk about on the call. We're proud of that.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Good. And one last question, in terms of Luminar. How meaningful was that in terms of revenue contributions in the quarter and how can, I guess -- I know it's a new business and you guys are really expanding or excited about it. Do you expect that this business will follow typical seasonal trends? Do you think that's there's -- how big of an opportunity could we see, maybe in 2014, 2015, in terms of revenue?
Christopher T. Young: Michael, it's still kind of in its incubation phase. We don't break out the financial. So I can't kind of give you a scope. It's not necessarily material yet, but we do have great expectations for this group. We're getting feedback from our clients and telling us that the products that we have are for real and we've pretty optimistic about the business line. But we're not in a position, yet, to start breaking it out separately on the financials.
Operator: And the next question will come from Tracy Young at Evercore.
Tracy B. Young - Evercore Partners Inc., Research Division: Three questions if I could. Just checking on auto. Are seeing pacing continuing to be up in the first quarter? And then are you seeing any political advertising outside of health care? And then, finally, if you could just update us. Obviously a lot of focus has been on Washington in terms of JSA. Could you just let us know what JSAs you have? Thank you.
Walter F. Ulloa: Sure, Tracy, it's Walter. Automotive continues strong in Q1. We like what we see, at least through February. And so that's one metric we'll share with you -- or some insight, I should say. And then political. We do have some political in the quarter. We did about $7.1 million of political in 2010, which is the last midterm cycle that we compare our sales to -- or we compare our performance to. Our goal, certainly, is to outperform our 2010 numbers, or revenue total, but most of that revenue is going to come in the third and fourth quarter. But we did see some in the first quarter. Not a lot. Again, the quarter's not over yet, but we have seen some first quarter revenue, political.
Christopher T. Young: And the last question was with respect to JSAs, Tracy, we've got 6 JSAs across the country with Univision and 1 JSA that we've just put into place back in December. It's a Fox station in Monterey. The FCC hasn't made a decision on the JSAs, but we don't believe that any of our Univision JSAs would be impacted by an FCC decision's work to kind of try and clamp down on the existing JSAs across the country. The one JSA that probably would be at risk would be our Monterey station. But it's brand-new, just an operation and certainly not material to our current operations as it currently stands. So I don't see any adverse outcome on the JSAs with respect to the industry having any material impact on our financials.
Operator: [Operator Instructions] And the next question will come from Aaron Syversten of Sidoti & Company.
Aaron Syvertsen - Sidoti & Company, LLC: Just one question. Can you kind of give an update on the landscape for the World Cup, in terms of, now that we're a little bit closer into 2014, just how that inventory is selling maybe compared to 2010?
Walter F. Ulloa: It's Walter. We're pretty pleased with the way World Cup is laying in, as we move through the first quarter and certainly head to the start of the games in June. I'll say that we're well ahead of our 2010 pacing for World Cup. I think there's 2 or 3 important reasons for that. One, the economy is in much better shape than it was in 2010. Number two, I think that we have the best marketing effort we've ever had in our history, around World Cup this year. And I think, three, there's more enthusiasm around World Cup. Every 4 years, it just seems to get bigger and bigger and bigger, particularly in the Latino community, and even outside the Latino community. I mean it has always been a big sports spectacle around the world, but now it's becoming more and more a bigger spectacle here in the United States. And of course it's in Brazil, a Latin American country, which is close our shores. So certainly that adds to the excitement.
Operator: And next we have a follow-up question from Michael Kupinski of Noble Financial.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: The retransmission revenue in the fourth quarter was a little bit better than I was looking for. I was wondering if you would want to give us any thoughts on the retransmission outlook for 2014.
Christopher T. Young: Well, that's all part of the arrangement that we have with Univision, Michael. We ended up just north of $22 million this year for the year. We would expect to see something between $22.5 million and $23 million for 2014, as far as retrans.
Michael A. Kupinski - Noble Financial Group, Inc., Research Division: Okay. And obviously, in terms of the negotiations, I know that Univision handles most of that. Is there anything that's coming up that looks meaningful as they kind of renegotiate some of their contracts?
Christopher T. Young: We don't have any material retrans deals that come up for negotiation in the Univision universe until, call it, mid-2017. So all of those deals are basically locked and loaded as far as the revenue streams are concerned.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Walter F. Ulloa: Thank you, Laura. This concludes our fourth quarter and full year 2013 earnings call. We thank you, all, for participating. We look forward to, again, speaking to you in May of this year when we will report our first quarter 2014 results. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.